Operator: Ladies and gentlemen, thank you for standing by, and welcome to Anthem’s Third Quarter Earnings Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question and answer session where participants are encouraged to present a single question.  As a reminder, today’s conference is being recorded.
Chris Rigg: Good morning and welcome to Anthem's third quarter 2020 earnings call. This is Chris Rigg, Vice President of Investor Relations. And with us this morning are Gail Boudreaux, President and CEO; John Gallina, our CFO; Pete Haytaian, President of our Commercial & Specialty Business Division; and Felicia Norwood, President of our Government Business Division.  During the call, we will reference certain non-GAAP measures. Reconciliations of these non-GAAP measures to the most directly comparable GAAP measures are available on our website, antheminc.com. We will also be making some forward-looking statements on this call. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally beyond the control of Anthem. These risks and uncertainties can cause actual results to differ materially from our current expectations. We advise listeners to carefully review the risk factors discussed in today's press release and in our quarterly filings with the SEC. I will now turn the call over to Gail.
Gail Boudreaux: Good morning, and thank you for joining us for Anthem’s third quarter 2020 earnings call. Today, we will discuss our third quarter results and expectations for the remainder of the year against the backdrop of the ongoing COVID-19 pandemic. We will also provide a preliminary view of the headwinds and tailwinds we project heading into 2021.  This morning, Anthem reported third quarter 2020 GAAP earnings per share of $0.87 and adjusted earnings per share of $4.20, down 14% over the prior year quarter. Our results in the quarter reflects the impacts of ongoing COVID-19 treatment costs, the continued return of a more traditional utilization environment, as well as our ongoing commitment to address financial imbalances to our customers and members.  Since the onset of the health crisis, I’ve been incredibly proud of the way Anthem has continued to respond as a trusted health partner. Beginning with the earlier days of the crisis, we pivoted quickly and look for opportunities to serve in new ways to address the evolving needs of our customers and members and to make a positive difference in the lives we serve.  Armed with our purpose of improving the health of humanity, Anthem has continued to leverage our insights, innovation and partnership to improve lives and deliver a simpler, more affordable and more effective healthcare experience. The heart of Anthem is our local legacy and longstanding focus on the communities where we live and work. 
John Gallina: Thank you, Gail, and good morning. As Gail mentioned earlier, we reported third quarter adjusted earnings per share of $4.20, a decline of 14% year-over-year. While our GAAP quarterly results included a few significant charges, our adjusted earnings were otherwise relatively consistent with our overall expectations.  Our results reflect the departure from normal seasonality trends due to the continued impact of COVID-19 utilization, as well as the actions we voluntarily took to support our members, customers, communities, and care providers.  We continue to offer expanded benefit policy changes to adjust cost share waivers for COVID-19 treatment has access to 24/7 telehealth at no cost, provided grants and support for our communities to name a few.  Our adjusted third quarter results exclude our expected share of the impending Blue Cross, Blue Shield Litigation settlement, as well as the charges related to the business optimization efforts that Gail referenced earlier.  The impending Blue Cross and Blue Shield litigation settlement removes an uncertain while the business optimization charges are the latest milestone in our journey of delivering on our commitment to achieving an SG&A ratio of 11% to 12% by 2023.  These initiatives are aligned with our enterprise strategy and represent a reallocation of resources in high growth and high impact areas such as AI and digital. After transitioning the majority of our associates to work from home in response to the COVID-19 pandemic, we were able to reassess and further optimize our real estate footprint as we gained a better understanding of our organization’s capacity to work from home.  Anthem’s third quarter operating gain was $201 million, a decline of $1.3 billion from the prior year. Absent the aforementioned major adjustment items, operating gain in the quarter declined 8% or $126 million. Our underlying results reflect elevated COVID-19-related cost across our commercial and government lines of business and retroactive Medicaid rate adjustment, partially offset by deferred healthcare utilization and strong performance in IngenioRx. 
Operator:  Our first question, we’ll go to the line of Stephen Valiquette of Barclays. Your line is open. 
Stephen Valiquette : Great. Thanks. Good morning, everybody. So, just on those comments on the tailwinds and headwinds, that was certainly helpful. The one I was curious to hear more about was the higher investment spending. Can you give us give a little more color maybe on that piece, in particular as you are thinking about trends for that for next year versus what you are spending voluntarily this year? Thanks. 
John Gallina: Yes. Thank you, Steve. Appreciate the question. And, the higher investment spending really is, putting more and more money into our AI and digital capabilities, investing more in stars in order to ensure that we improve our number of members covered by four star plan in the next rating period and beyond.  And, really the way that that care is going to be accessed here in the future is slightly different than how it’s been accessed in the past from really investing in the various networks and capabilities to meet the customers where they need to be met. So, we’ll provide a lot more specificity on that at Investor Day in terms of automating and reimagining processes and embedding digital and AI across the enterprise.  It’s all about simplifying and improving the customer experience. So, hopefully that can provide you a little bit of context here in the mean time. 
Gail Boudreaux: Yes. Thanks, Steve. I’ll just also reiterate what John just said, which is, we have been investing what we found is that there is an opportunity to accelerate those investments as a result of the increased adaption that we’ve seen over the course of the pandemic, particularly in our digital assets, where we made significant commitments around our Sydney and our Psych Hub and other things where we are seeing our consumers more actively engage with those assets.  And then, stars is obviously a key priority for us and we continue to build a team there as well as invest in ensuring that we can pull through what we are doing in our pharmacy now that we have an under IngenioRx.  Thank you very much. Next question please. 
Operator: Next we’ll go to the line of A.J. Rice with Credit Suisse. Please go ahead.
A.J. Rice : Thanks. Hi everybody. Just one point of clarification and then a question. The 2021 outlook growth rate, is that using 2020 to 2030 jumping off point as the base? Or is there any adjustments we should make in thinking about what the base is for this year?  And then, my broader question is, you mentioned the puts and takes you have to deal with in thinking about the outlook for next year in developing medical cost trends, can you just maybe flush out a little bit more what are you thinking next year for medical cost trend and what are some of the major unknown variables or variables you have in the reservoir as you think about that cost trend expectation for next year, particularly like in the commercial risk business? 
Gail Boudreaux: Great. Thank you. Thank you very much, AJ. Let me start now, have John provide a little bit more color. As you said, at this early stage, our view of 2021 would affirm our long-term EPS growth rate of 12% to 15% off the guidance of 2020 to 2030 as you mentioned.  Although as John commented in his prepared remarks it’s skewed towards a little over a half of the range, just given the unusual risk and challenges presented by the ongoing pandemic. So with that, let me have John give you a little bit more color on some of the other specifics that you asked in your question. John? 
John Gallina: Yes. Thank you, Gail. And, good morning, AJ. Our 2021 trend expectations and really I think you maybe pointing to commercial pricing actions are very important, obviously many variables they have considered as part of our trend and our pricing assumptions. And I’ll just be clear for everyone on the call here for competitive reasons, we are not going to provide a specific point estimate of where we see trend coming or what our pricing assumptions are at this point in time.  But I do think it would be instructive to highlight some of the things are considered. First of all, there is a permanent repeal the health insurer fee and that repeal actually is going to save Anthem customers or actually $2 billion in 2021 and certainly we removing its burden helps mitigate the impact of cost. And also, really looking closely at how will care be accessed in 2021.  For instance, telehealth, ER visits, standalone surgery centers, other site of service changes, how are they going to evolve before and after a vaccine is available, And overall utilization be impacted or just it’s the way that CARES Act. Certainly, we are trying to assess the ongoing impact of COVID-19 testing and treatment, assessing how much pent-up demand still exists versus the permanent cancellation of procedures. And then how is deferred utilization impacted underlying acuity.  And like, the list goes up, those are all just variables that are incremental and on top of the normal variables that exists each and every year when we assess trends. So, the one thing I’ll say with all of that though, is that we are being very disciplined in our approach and we are being very disciplined in our pricing.  Our pricing covers forward trend. We have committed that. We were priced to cover forward trend and we’ll continue to do so. So we’ll provide more insights into this in early 2021 questions on our fourth quarter call next January. And of course, as I stated on March 3rd during our Virtual Investor Day provide a lot more insights.  But these are many of the variables that we are really working our way through right now as we finalize our 2020 year.  Thank you, AJ 
Gail Boudreaux: Thanks very much. Next question please? 
Operator: Next we’ll go to the line of Justin Lake with Wolfe Research. Please go ahead. 
Justin Lake: Thanks. Good morning. One quick numbers question that I wanted to ask about Medicaid. So, on numbers, can you share with us the next if tailwinds, John, that you talked about that you are thinking about for 2021. I know you said that was offset by some reimbursement in stars. Want to get that net number from you.  And then, can you talk to your views on Medicaid rate actions for 2021 being as given. I remember you expect it to end this year at 3% margins in Medicaid. Can you talk about that within the expectation for next year in terms of – do you expect to be at that 3% target for 2021? Or do you saw moderation in your – in services resumes within that 2021 guidance? Thanks. 
John Gallina: Hey, Justin, I apologize. Can you repeat the first half of your two-part question? I am not sure I understood everything you said. 
Justin Lake: Sure. Just first look at the net if tailwind for 2021? 
John Gallina: Oh the net if tailwind, okay.
Justin Lake: Medicaid margins for next year. Thanks. 
John Gallina: Yes. The HIF, as I said, that was part of the overall headwinds and tailwinds that we had and in response to AJ’s question, we’ve certainly tried to factor everything into our headwinds and tailwinds as part of reaffirming our long-term growth rate and really don’t want to get into cherry picking certain items as to why something as part of a starting point and my something else is not right. On HIF and of itself, we are looking at $0.60 to $0.80 of a tailwind in 2021 associated with the permanent repeal of that law.  Related to – as we said, part of it’s going to be is to help fund some of the investments in Medicare to improve star ratings and other things. So, there is certainly a lot of fungibility associated with any number of headwinds or tailwinds, but $0.60 to $0.80, I think is the dollarized impact of the question.  Related to the 2021 and the Medicaid rate environment, obviously we are working very closely with the states to ensure that we get actuarially appropriate rates working through whether it be the collars of the corridors and how those things are impacting the methodology, I think we’ll advice very wide open in terms of that. And as I said, conversations with our state partners regarding the need to have sound rates as we quickly return to a normal operating environment.  So, our expectation is, is that, we’ll be able to achieve a appropriate return on capital and operate well within the target margin range in Medicaid in 2021 and are actually focused on being relatively close to the midpoint of that range. 
Gail Boudreaux: Thank you. Next question please? 
Operator: Next we’ll go to the line of Ricky Goldwasser with Morgan Stanley. Please go ahead. 
Ricky Goldwasser : Yes. Hi. Good morning. My question is on the utilization trends that you are seeing, also you stated we are returning back to normal. So maybe you can give a little bit more color about the difference between the different books? And what type of procedures you are seeing coming back?  And especially as we think about this is looking ahead to 2021, John, you talked about the difference in the titles procedures is coming back. So if you think about ER visits if you are seeing less utilization there, does this mean that if that’s likely to expect that these types of utilization will be back in 2021 and how is that shaping your thoughts to next year?
John Gallina: Sure. Thank you, Ricky for that question. And maybe I’ll provide some context that might answer questions that are in the queue as well in terms of your question. So, if you look at the underlying claims that we are seeing, as I stated in my prepared comments that, they are, excluding COVID would be below baseline levels.  But then, when you add COVID cost back in, we are exiting the third quarter at greater than baseline. So, we started the third quarter with a combination of both underlying procedures and COVID cost being below baseline and we ended the quarter with the combination to being above baseline. We fully expect that the fourth quarter would be above baseline for the entire quarter given the recent surge in COVID, as well as all the other trends that we are seeing.  Associated with where we are seeing some of the rebound, outpatient surgery has recovered the fast as pre-COVID and it’s actually even trending above baseline in some instances. Some of the more costly procedures such as joint replacement surgeries have come back faster.  And a lot of that was anticipated and the actions we took to intentionally redirect care to the outpatient setting to ensure continuity of care are coming through. And to that end, we are focused on ensuring our members are getting the care they need in a timely manner, whether it be through telehealth or by redirecting certain procedures to outpatient setting.  The ER utilization is still below baseline at this point in time and we expect that to continue for a while as well. So, we are clearly taking all these things to consideration as we look at 2021 trends and as I stated for competitive reasons, we are not committing to a point estimate at this – on this call. But there is a natural system capacity constraint that will cause some utilization to carry into 2021 and we are certainly factoring that work off. Thank you for the question, Ricky. 
Gail Boudreaux: Thank you. Next question please? 
Operator: Next we’ll go to the line of Stephen Tanal from SVB Leerink. Your line is open. 
Stephen Tanal : Good morning guys. Thanks for the question. And just on also Medicaid, maybe two-part question on this. So, Medicaid enrollment, obviously been really strong, it looks like pre-determination will be suspended at least through year end based on the last 8-K just – primarily health emergency. So, wondering if you guys had to do on enrollment in peak and then sort of related, small follow-up.  So, I believe that pretty decent outlook to the margin, but I guess, we are pointing on the rate path and other corridor and collar type actions you guys are taking, can you give us a sense for what that all in how to enrollment will take in 2020. I think that it was almost $300 million a quarter and how do you think 2021 looks versus 2020? And that would be helpful. 
Gail Boudreaux: Sure. Thanks for the question. I am going to ask Felicia Norwood to address some of your specific questions about reverification and timing of rates. But in terms of your very specific question about the all-in, what we expect that to be, as I said in my prepared remarks, $300 million was what we had in the quarter and we are expecting, obviously given where utilization goes and things that could move a little bit around $500 million would be that number. But with that, let me ask Felicia speak to the other questions you had. Felicia? 
Felicia Norwood : Yes. Good morning, Stephen and thanks for the question. As you mentioned, Medicaid growth had certainly been accelerated during this period, we’re up 4.8% quarter-over-quarter and almost $389,000 over second quarter. And at this point, I don’t know if we would back to the – just say when that peak is going to happen.  When you take a look at where we are today, states have spend at their reverification at least through the end of the public health emergency. That public health emergency right now will go through January 21st of next year. But in addition to the public health emergency, states are also receiving enhanced FMAP. So we would expect that states will continue to suspend reverification through the period of enhanced FMAP.  So that could be certainly through the end of January of next year as we head into February. We’ve been in constant conversations with our state partners with respect to continuity of care for our members, particularly during this time of a pandemic. And continuity of care is very important. So we work with our state partners trying to make sure that we are working closely around aborting any type of clip event.  So I am not sure at this point, when things are going to peak certainly as long as this has a continuation of the public health emergency and the enhanced FMAP that states are currently receiving. Thank you. 
Gail Boudreaux: Thank you. Next question please? 
Operator: Next we’ll go to the line of Ralph Giacobbe from Citi. Please go ahead. 
Ralph Giacobbe : Thanks. Good morning. Just want to first just clarify quickly, on the Medicaid side, I think you mentioned target margins to get this 3% by 2021. I was hoping if you could give us a sense of where you think it will shake out for 2020?  And then, just wanted to ask about, membership was obviously holding better than our expectations and it sounds like your expectations as well. But the overall performance seems generally in line and guidance maintained. So, if you could help on what that delta is? Is it just cost coming back fast certainly you thought? Is it higher COVID or something else? Thanks. 
John Gallina: Yes. Ralph, thank you for the questions. In terms of target margins associated with Medicaid, we have – as you know, we have well over a half of our states are January 1 renewals and we are working very closely with them on rate actions. And that the trend information that’s utilized for January 1 renewals is typically the two prior years.  So, 2018 and 2019 are the – really the actuarially sound rate information we have associated with that. So, we feel very good about how those conversations are going and where those rates are coming out. In terms of 2020, it’s an interesting dynamic with all the deferred utilizations, the increase in COVID costs, some of the call backs of premiums, all in, we are – as you know, we’ve had a $22.30 EPS guidance that we reaffirmed.  The overall margins within Medicaid are coming out within the target margin range, but there is a lot of variables and lot of hard work to get there. But clearly, we are trending in the right direction during this period of uncertainty. Associated with the membership, as you know, we feel very good about our membership.  We think we have the most resilient membership mix in the business. We grow in periods of strong economic times. We grow in periods of economic uncertainty. And we made a cognizant decision here in 2020 that, we would help address the imbalances and inequities in the system created by the pandemic. So, as our membership continues to get stronger and stronger, we are helping give it back to maintain our guidance.  And then, lastly, in terms of the fourth quarter, we do expect the fourth quarter to have an elevated medical loss ratio and that’s because the underlying cost of services, plus the pent-up demand that is partially coming through, plus the COVID cost that we are covering on top of all of that, we expect to be above baseline. And so, we are usually looking at a 300 to 350 basis point MOR in the fourth quarter higher than what normal seasonality would suggest. But thank you for those questions. 
Gail Boudreaux: Next question please? 
Operator: Next we’ll go to the line of Sara James from Piper Sandler. Please go ahead. 
Sara James : Thank you. Can you speak to what is in federal versus the individual state control of when redeterminations for Medicaid turns back on. I am wondering if we could end up with different states turning on at different times and then when it does turn on, how long does it take to the states to catch up on evaluations and fully base out the benefit? Thanks. 
Gail Boudreaux: Felicia?
Felicia Norwood : Good morning, Sara and thanks for the question. As I said, I would expect that states would suspend reverifications at least through the public health emergency and the enhanced FMAP. Once that happens, states have the ability to control when they return to reverifications with respect to membership. What the Federal government requires is that, Medicaid members to have their eligibility redetermined at least what, every twelve months.  States can decide whether or not they want to then execute upon that beginning in the next quarter or thereafter, but you generally get through your entire Medicaid book of business over a twelve month period. So, as we take a look at our portfolio, which as you know is 23 states, all of those states will make determinations around when they commit reverifications at varying different intervals.  We are working very closely with our state partners and they’ve been very collaborative with us around helping us to educate members around the reverification process and what’s necessary, once that reverification process commences. But the return to reverification, the timing, the cadence around when that happens with respect to membership is certainly left with the state partners in terms of when that happens. 
Gail Boudreaux: Thanks, Felicia. Next question please? 
Operator: Next question we’ll go to the line of Kevin Fischbeck with Bank of America. Your line is open. 
Kevin Fischbeck: Great. Thanks. Wondering, I guess, just quantify the 2022 impact of the settlement on the Blue Cross Blue Shield. Just wanted to see this obviously other aspects to that settlement beyond the financial payment.  I was wondering if you could provide some color on if that settlement in any way would impact your view on 12% to 15% long-term growth, and/or change the way everything as you get to that 12% to 15% growth number? 
Gail Boudreaux: Thanks for the question, Kevin. In terms of the settlement that we announced today in the financials, we will be including in our 10-Q a much more fulsome discussion. So, just to give you a perspective of that, which will be filed this morning. BCBSA and the Blue plans have approved the settlement agreement and relief to the subscriber settlement as part of the case.  If approved, which the court still has to review it requires us to make the monetary settlement which we took our portion of its part of the third quarter charge. But also, there are a couple of non-monetary terms. One, eliminating the national best efforts rule in our license agreement.  And the second is allowing for some larger national employers with self-funded benefits to be able to request to bid for insurance coverage from a second Blue plan in addition to the local Blue plan.  As you know, we fully accrued our estimated liability in the third quarter of 2020. In terms of the impact of that, we view our strategy has been very consistent and don’t really see any changes in our overall strategy. Thanks for the question. Next question please? 
Operator: Next we’ll go to the line of Joshua Raskin with Nephron Research. Please go ahead. 
Joshua Raskin : Hi. Thanks. Good morning. I guess, just back on the commercial memberships holding up a little bit better, I am curious if you are seeing any recent signs of furloughs becoming more permanent.  If you guys have a better view on sort of what percentage your membership is currently in furlough, meaning not getting salary, but still getting their benefits? And then, maybe any geographic areas or segments that are seeing different trends from the overall book. 
Gail Boudreaux: Yes. Thanks for the question. Josh. I am going to have Pete Haytaian response to that on the commercial business. 
Pete Haytaian: Yes. Thanks for the question, Josh. And yes, definitely commercial membership and enrollment activity continue to perform better than we expected. You noted furloughs. We don’t have specific information on the volume of furloughs. We are obviously paying close contact with our employer and broker partners regarding this and we’ve done a lot to make sure that we protect the membership and provide them with a lot of options in that regard.  I’d say, that furloughs, as well as the fact that we have a disproportionate share of our membership in less risky segments which has certainly helped us and then as I think you alluded to the unemployment rate, it’s certainly lower than we had originally expected. I’d say, but most importantly, from an execution perspective, in terms of what we can control, I am really pleased with the teams’ performance.  Our sales exceeded our last as again as we have for the last several quarters. One important point then to note, our fully insured membership in commercial actually only declined 27,000 members in the quarter. So, the overall net negativity that you are seeing in our membership is really caused by in-group change. And then as we look forward, your point about the future, we are modeling continued declines in the commercial market.  We aren’t necessarily seeing great variation by market. It’s really hard to predict that with precision. But we are expecting continued declines. I would say that our early read, October is a continuation of what we saw in Q3. So, nothing that’s fundamentally changes that.  And then finally, I’d just say, I think we are really well positioned. I am very pleased with the teams. The last couple of years we’ve spent a lot of time on investing in a product portfolio and having product options to meet customers where they are and as the economy improves, I am confident that we’ll have a solution for them. 
Gail Boudreaux: Thank you. Next question please? 
Operator: Next we’ll go to the line of Lance Wilkes from Bernstein. Your line is open. 
Lance Wilkes : Yes. Wanted to ask a little further on 2021 with respect to the employer business, and in particular interested in your outlook for, kind of wins, losses, so not the in-group aspect of it. And then, cross-sales and Ingenio penetration, how is that looking as you are kind of getting through the selling season here?
Gail Boudreaux: Yes. Thanks for the question. I’ll have Pete add additional more color. But I as I shared in our opening remarks, we feel really good about our ability to increase our sales relative to our lapses.  And so, while this has been a very unusual year, we are still seeing particularly in the mid and lower – our small group business we are seeing really strong results because of our sales effectiveness. But I’ll have Pete give you a bit more, because I think the work that his team has done over the last two years is really showing results this year. 
Pete Haytaian: Yes. Thanks a lot for the question, Lance. In the areas that we’ve closed out selling – so for example, balancing group retiree we are very pleased, as Gail said with our execution and how we’ve done. The activity in 2020 for 2021, at least in national for example in group retiree was – that was actives. As you would expect, some of the larger jumbo accounts, they did defer and you would expect that in light of what’s going on, associated with the COVID.  But as Gail said, down market, smaller accounts, we are seeing a lot of really good activity. Our value proposition is really resonating in the marketplace. Our focus on advocacy with solutions like Gail mentioned in the prepared remarks, the Sydney technology, our consumer engagement platform, innovative programs like Total Health, Total You, et cetera are really playing well in the market.  We launched, as you probably have heard, high performing networks with our Blue Assisted plans across the country covering 55 MSAs. All these things are playing into our growth into 2021 and we feel good about that. Obviously, in-group change and the economy remains a big variable as it relates to the ultimate impacts.  As it relates to the second part of your question, Ingenio and upselling, our approach 5 to 1, to 3 to 1, as it relates to what we can control, I feel really good about our progress and future prospects getting to the 301. Prior to COVID, this year, we were solidly on track to get to quarter one. COVID definitely did set us back a little bit, as you’d expect.  But even with COVID, we are seeing really good activity across all the component parts that generate growth in our strategy 5 to 1 to 3 to 1. Our penetration rates and upselling rates around specialty products continues to improve. Obviously with affordability being a big focal point us selling the total value proposition across medical specialty and pharmacy, really seems to be playing well.  Our Anthem Whole Health Connections is really resonating similarly with all our clinical programs. We’ve actually pushed really good programs like Total Health, Total You down into the local markets. And then as it relates to IngenioRx, we do feel really good about the future opportunities. Again, very similar, as it relates to big jumbo opportunities, there was a little slowing in that regard and people potentially deferring into the future.  But as we head into 2021, we have some sales ready. We feel really good about the upsell opportunity, pharmacy into our medical and selling that total value proposition. I look forward to working with my new colleague Jeff Walter and the Ingenio team on that. 
Gail Boudreaux: Thank you. Next question please? 
Operator: Next we’ll go to the line of Frank Morgan with RBC Capital Markets. Please go ahead. 
Frank Morgan : Good morning. Appreciate your updated color around the mid-double-digit growth in the MA side of the business and I think in the past, you talked about the growth in telephonic sales. But I think did I say, expectations around our growth into digital channel. So, just any incremental color around that versus the telephonic channel and given COVID, do you have any thoughts or expectations around the level of planned switching with any of the plans as AEP? Thank you. 
Gail Boudreaux: Well, thank you very much for the question. Just real quickly, when we start with the planned switching, we do expect less switching this year as people are shopping less. We’ve had a strong and growing amount of sales from our digital channels and we do think that that is going to be particularly strong.  Early returns are showing that already. Obviously, face-to-face during a time of COVID is a little more difficult. So, again, we are expecting a very strong – strong results as I shared in our opening comments around Medicare Advantage and digital will be a very big part of that. Thank you next question. 
Operator: Next we’ll go to the line of Robert Jones with Goldman Sachs. Please go ahead. 
Robert Jones : Great. Thanks for the question. I just wanted to go back to the investment comments and just get a better sense about the investments not only for this year, but you highlighted a headwind from investments next year. So, I guess, maybe this year, just a $600 million in the business optimization charges that you had in the quarter. I know you cited areas like speed to market, streamlining operations, and then some of the digital initiatives it sounded like.  So, maybe just a little bit more on those investments? And then in 2021, how, I guess, are those investments potentially different? What areas would they be focused in and anything around the size of those investments as you sit here today and think about next year would be really helpful. Thanks. 
Gail Boudreaux: Yes. So I think there is two areas of the charge that I just want to make sure. One is around the reduction in the footprint, because we are reimagining our office space. And again, we are going to still be an office-based company and we will still have a presence in all of the states where we do business. But what we’ve learned as part of the pandemic is that, we are really going to change the nature of those bases and consolidate the number of them we have in each of it, places that we work.  In terms of the investments we made, those are all very consistent with what we discussed back in Investor Day last year. And again, what we’ve learned as part of the pandemic is an acceleration of both our ability to implement. So acceleration of digital that we’ve been building, that needs a great examples, Psych Hubs and other ones, telehealth.  All of those things we’ve seen consumers much more readily adapt and use than we had even predicted and so part of that is accelerating that and how our workflows and business processes as part of what we’ve been doing, we embarked on an initiative to really simplify our operating environment to improve experiences for consumers to take out redundant steps, improve how we reach out to consumers, use AI-enabled claim adjudication.  So, things along that nature. Very consistent, but it’s – again an acceleration that we see in usage pick up dramatically. So we’ve been able to accelerate the work that we are doing. Thanks for the question and next question please. 
Operator: Next we’ll go to the line of George Hill from Deutsche Bank. Please go ahead. 
George Hill : Hey, good morning guys and thanks for taking the question. I guess, John, not a numbers question, but just interested in how you guys think about how if utilization mix continues to change, I guess, can you talk about how you guys think that reflects in pricing for 2021? And have you guys looked at current utilization kind of modeled that into the pricing for 2021?  And then, just kind of a nitpicking question, when you talked about the lower end of the range for 2021, was it your intention to basically tighten the range that’s off the 13% growth. So we’ll see a tighter EPS guidance range for next year as opposed to a wider range which could be 12% to 15%? 
John Gallina: Thank you for the questions, George. I’ll start with your last question first. Our long-term stated growth rate is still 12% to 15%. There is no intention of tightening that and we do believe that the 12% to 15% range is a sustainable range that we can deliver on for quite some time. The comment about being too lower end was just really due to an overabundance of caution, given the uncertainties related to the entire pandemic and COVID situation.  Related to the utilization question at the beginning, we have done really a lot of sophisticated modeling. Our various scenarios that we modeled since the beginning of the crisis have been going on and we constantly updated and incorporate new learnings in the model as the pandemic is involved. The recovery in utilization maybe lumpy.  We do believe our assumptions are very sound. As I stated I think in an answer to an earlier question, there will be some natural system capacity constraint that we do believe will cause some utilization to naturally carryover into 2021. And just to be clear, yes, we have tried to think through all of those and incorporate all of those variables into our 2021 thought process.  And then, as I stated before, we are pricing the cover forward trend. And so, our expectation is, is that, that we will cover forward trends in terms of our pricing and our revenue associated with price differences. Thank you. 
Gail Boudreaux: Next question please? 
Operator: Next we’ll go to the line of Whit Mayo with UBS. Please go ahead. 
Whit Mayo : Thanks. Good morning. What are you guys thinking about or sharing some  at levels across all your lines of business this year. So, maybe instead of asking suspenders, what are the signposts that you are looking towards perhaps shift that policy? 
Gail Boudreaux: Well, thanks for the question, Whit. You know, as we think about policies, obviously, in our government business, that continues to be and I think part of the guideposts really are about and where we are in the pandemic and access to care. Right now, we are seeing offices open and we are seeing individuals to have access to care clearly as long as there is a serious issue on COVID and the pandemic.  And we are seeing rise in cases. It’s something that we continue to evaluate. There is a lot of uncertainties right now and a lot of questions. Timing into vaccine, expanded testing which we continue to model pent-up demand and we are seeing as we mentioned that going above the baseline. So we are seeing people access care, which is important.  And remember, our goal is also, we are reaching out to make sure that people have the right access to care particularly those we know who have multiple kind of conditions across our book of business. So, in terms of that, we continue to model it. We continue to look at it and our goal is to ensure that we have appropriate access to care.  And that is, we are learning a lot more about each of the events that are happening with COVID. Thanks for the question and next one please? 
Operator: Next we’ll go to the line of Dave Styblo with Jefferies. Please go ahead. 
Dave Styblo: Hi there. Thanks for the question. So, a quick clarification. John, when you talked about the MOR being 300 to 350 days at this point, above normal is sort of a fourth quarter of 18 a reasonable pocket to think about as a point of clarification. And then, second – the other question really is on Medicare Advantage.  You guys are talking about double-digit growth again more strong momentum. I guess, in past years, just the geographic expansion of your footprint has certainly helped that, as we look at the MA landscape file this period, it looks like you are only expanding by 1% or 2% of the senior population. So, I am just wondering what gives you confidence that you can sustain that momentum in terms of taking share from peers? 
John Gallina: Thank you, Dave. I’ll answer the first half of the question associated with the MOR. Yes, the fourth quarter of 2018, of course doesn’t need to be mix adjusted a bit for the fact that our membership mix has changed. But the fourth quarter of 2018 is as good of a starting point as any from a comparative basis to look at that 300, 350 basis point increase that I referenced. 
Gail Boudreaux: In terms of the second question, why do we feel confident about our growth projections? There are few things. One, I shared in my opening comments, which is really very strong product offering. We expect 90 plus percent of our members to be in or have access to zero premium plans. Our supplemental benefits continue to be some of the strongest offerings in this space.  And then third, we believe that there is still significant opportunity in our states to expand. I mean, right now, we don’t have number one market share in many of those states and there is growth. We do have number one market share in the commercial space and our Blue brand is incredibly strong in those states. And then states where we are selling outside our Blue brand, we also are seeing some really nice momentum.  We have partnerships and joint ventures with our Blue rather. And so, again, we are seeing a lot of momentum. Our brand resonates well. Our digital channels are also resonating very well in terms of the sales to marketplace. So, overall, while we don’t have a significant – we have some expansion.  We expect to gain market share in our states and we do think that our 85 new counties that we’ve entered will also help us. But again, we feel our offerings are very strong and are resonating quite well. Thank you. Next question please. 
Operator: Next we’ll go to the line of Steve Willoughby with Cleveland Research. Please go ahead. 
Steve Willoughby : Hi. Good morning. Just a quick question. I was wondering how you guys are thinking about cost of vaccines and therapies for COVID in 2021 in terms of essentially who is going to be paying for them and how much?
Gail Boudreaux: Well, thanks for the question. I think, while you are focused on vaccines, no one really has the ultimate answer at this stage, where we are watching the situation very closely and learning about the potential. We’ve modeled a lot of scenarios into our pricing. There is a number of variables, obviously around vaccines including when they’ll be available from as early as January, or is it summer of 2021.  Clearly, dosing requirements, vaccination rates, storage, transportation, whole lot of things. I mean, that obviously goes to say that there is a ton of variables. But remember, vaccines are only one cost of COVID in total. We are looking at the total cost of COVID and I wouldn’t look at this into cancellation. Our goal obviously is to advocate to protect our highest risk members first.  So, again that gets to the timing. But we also understand that CMS is going to be providing guidance at some point and we’ll obviously look to follow their lead accordingly. Thank you. Next question please.
Operator: Next we’ll go to the line of Charles Rhyee with Cowen. Please go ahead. I apologize. Next we’ll go to the line of Gary Taylor with JPMorgan. Please go ahead. 
Gary Taylor : Hi. Good morning. A two-part question. Given the business optimization benefits are fairly material number, would you anticipate also excluding those from adjusted earnings guidance in 2021? The second part of the question, just wondering we looked the last four years share repurchases around between about $1.7 billion and $2 billion annualized – on an annualized basis. Would it be in that range again this year? Anything extraordinary contemplated there for either 4Q or 2021 in that 2021 outlook? Thanks. 
John Gallina: Yes. Hey. Good morning, Gary. And thank you for the questions. Yes, first of all in the business optimization, we did certainly exclude the charge here in the third quarter. And the benefits associated with that will certainly come through over a period of years and become part of our runrate cost savings associated with the administrative structure of this company.  And again, as we had talked about, we have got our plan to get to a 11% to 12% SG&A ratio by 2023 that we have referenced at our Investor Day and this is certainly one step to get there. The other part of the question or the answer I would say is that, we’ve also talked about incrementally investing really putting more money into the digital and AI, putting more money into the stars type of investments and we are obviously not going to exclude any of those cost from our numbers.  So, 2021, we think should be fairly clean from that perspective that we’ll have some savings and we’ll have some reinvestment opportunities to really help position the company much, much better for the future. 
Gail Boudreaux: Yes. And I just like to reiterate too, it’s a one-time charge. So just so we are clear about that. 
John Gallina: Yes. This year, yes, thank you. And then, on the share repurchase, we’ve repurchased approximately $1.3 billion through the end of September. We have a increased share repurchase pace a bit here in the third quarter, especially when our stock price was really down, we thought far greater than what it could or should have been based on a PE multiple perspective.  We are obviously going to be opportunistic and watchful of market conditions. Our stated goal is to reinvest about 50% of our free cash flow into either M&A or back into the business, 30% in the share buyback and 20% in the dividends. As I’ve stated, I do believe that those buckets are going to be appropriate over a five year period of time.  They will never be exactly correct in any one quarter. And probably not even exactly correct in any one full year. But I would expect that we would continue our share buyback here in the fourth quarter and maybe end the year little bit higher than what we’ve been in the last couple of years, just given the weakness in the stock price that we saw.  And then head into 2021 from there. But at the end of the day, we need to be opportunistic with our capital and ensure that it’s being allocated appropriately. Thank you, Gary. 
Gail Boudreaux: Thank you, John. I think we have time for one last question. 
Operator: And our final question comes from Scott Fidel with Stephens. Please go ahead.
Scott Fidel : Okay. Thanks. Thanks for sending me in here under the wire. A question, I just wanted to circle back just on the Blues settlement. And I know it’s early here in terms of how this ultimately may affect the broader Blues landscape. But just, answer - so Gail, I guess, two parts.  One, do you think that ultimately this could lead to a renewal over time of the Blues consolidation theme, which obviously has been dormant for the last 15 years or so? And then also just from a strategy perspective, for Anthem, whether, the elimination of the Blues rules would lead you to think about doing larger non-Blues acquisitions over time? 
Gail Boudreaux: Well, thanks for the question, Scott. And, as I said before, our strategy, which we laid out at Investor Day has remained incredibly consistent. And so, we don’t see this changing our strategy. We have significant opportunities to partner with Blues, as part of our diversified business group. We’ve been very successful in selling in services and IngenioRx offers other opportunities.  And as you know, from our Medicaid and Medicare business, we’ve done a number of partnerships with them well and recently Ingest announced actually a partnership in our group Medicare. So, I think, from our perspective, as I said before, I see – I really don’t see this changing our stated strategy and I think that we are very excited about the growth prospects we have across Anthem. So, thanks very much for that question.  With that, I want to thank everyone for joining us on the call this morning. As we shared today, Anthem is not a blow path for growth across our enterprise driven by our commitment to deliver a simpler, more affordable, and more effective healthcare experience for those that we are privileged to serve.  As always, I want to express my gratitude to our associates for their unwavering commitment to our customers, members and communities during this most challenging time for our country.  As you can see, we remain committed to delivering a simpler, more affordable and personalized experience for those we serve. And I look forward to building on our momentum throughout 2020. Thank you for your time and your continued interest in Anthem. 
Operator: Ladies and gentlemen, a recording of this conference will be available for replay after 11:00 A.M. today through November 27th 2020. You may access the replay system at any time by dialing 888-566-0406 and entering the access code 8850. International participants can dial, 402-998-0591. Those numbers again are 888-566-0406 and 402-998-0591 and use the access code 8850.  This concludes our conference for today. Thank you for your participation and for using Verizon conferencing. You may now disconnect.